Operator: Ladies and gentlemen and thank you for standing by and welcome to the H.B. Fuller Q4 2020 Earnings Conference Call. At this time all participants are in a listen-only mode. After the speakers presentation there will a question-and-answer session. [Operator Instructions]. Please be advised that today’s conference is being recorded. [Operator Instructions]. I would now like to hand the conference over to your speaker today Barbara Doyle, Vice President of Investor Relations. Thank you, please go ahead.
Barbara Doyle: Good morning, and welcome to H.B. Fuller's fourth quarter fiscal 2020 earnings call for the fiscal quarter ended November 28, 2020. Our speakers are Jim Owens, H.B. Fuller President and Chief Executive Officer; and John Corkrean, Executive Vice President and Chief Financial Officer. After our prepared remarks, we will take questions. Please let me cover a few items before I turn the call over to Jim. First, a reminder that our comments today will include references to non-GAAP financial measures and references to organic revenue, which excludes the impact of foreign currency fluctuation and the impact of acquisitions and divestitures. On this call, unless otherwise specified, discussions of sales and revenue refer to organic revenues, and discussions of EPS, margins or EBITDA refer to adjusted non-GAAP measures. These measures are in addition to the GAAP results in our earnings release and in our Forms 10-Q and 10-K. We believe that discussion of these measures is useful to investors to assist the understanding of our operating performance and the comparability of results with other companies. Reconciliation of non-GAAP measures to the nearest GAAP measure is included in our earnings release. Also, we will be making forward-looking statements during this call. These statements are based on current expectations and assumptions that are subject to risks and uncertainties. Many of these risks and uncertainties are and will be exacerbated by the COVID-19 pandemic, and any worsening of the global business and economic environment as a result. Actual results could differ materially from these expectations due to factors discussed in our earnings release, comments made during this call, or risk factors in our Forms 10-K and 10-Q filed with the SEC and available on our website at investors.hbfuller.com. Now, let me turn the call over to Jim Owens.
Jim Owens: Thank you, Barbara and welcome to everyone on the call. Last evening, we reported strong fourth quarter results with organic revenue up 5%, EBITDA up 9%, and EPS up 21%. These results exceeded our expectations and each of our segments delivered positive organic growth and strong margin performance in the quarter. This performance is especially strong given its comparison against a pre-COVID environment and as a result of the work we've done to gain market share and reduce our cost structure. During today's call and in the months ahead, we will explain and demonstrate why you should continue to expect differentiated performance from H.B. Fuller.  Throughout the year, our portfolio of innovative adhesive solutions in hygiene, health and packaging has enabled H.B. Fuller to continuously meet high levels of demand for essential consumer products. We outperform the market in meeting these needs. During this time, we also work with customers in other markets to accelerate our product qualification processes for electronics and durable goods, and as demand around the world strengthened and global industrial production improved, we capitalized on share gains across our diverse markets to deliver fourth quarter results ahead of our expectations. We also realized significant operational benefits from the business realignment completed earlier in the year, which generated $30 million of annualized SG&A savings in 2020, including $10 million realized in the fourth quarter, resulting in strong profit growth and operating leverage. Our work in 2019, in advance of the pandemic to reorganize into 3 GB used instead of 5, has enabled us to grow faster while reducing costs.  Our strong cash flow performance continued in the fourth quarter. Cash flow from operations increased 27% year-over-year and enabled us to pay down a total of $205 million of debt for the year above our original $200 million target. Our results in the fourth quarter and throughout the year reinforced the resiliency of H.B. Fuller strategy. Our culture of collaboration, our broad adhesive technology portfolio, our applications expertise, and our global operational agility proved to be differentiators in this current environment. H.B. Fuller seamlessly supported the dynamic needs of our customers in a world transformed by the COVID-19 pandemic. Throughout the pandemic, several priorities have remained constant for us, ensuring the health and safety of our employees, leveraging our technology investments to find new ways of working, and utilizing our vast global capabilities to ensure business continuity for our customers.  All companies have had to learn how to work differently in 2020, but I can say that H.B. Fuller team has truly excelled in this environment. I can't emphasize strongly enough how proud I am of our employees around the globe for their unwavering focus on delivering our priorities throughout 2020. Our teams effectively collaborated with each other and with our customers to develop new products and solve supply issues, and they did it faster than ever. We leveraged our digital technology in new ways to remotely qualified new applications and troubleshoot complex issues. The result was an increase in the speed of our decision making, shortened sales cycles, and improved customer support.  Our new organizational structure enabled greater collaboration across our global teams, faster decision making, and better flexibility. H.B. Fuller's dedicated focus on adhesive technologies and our global capabilities have positioned us to move first and fastest with a clear vision and mission, no distractions from other divisions, other priorities or regional issues. These are proven to be critical competitive advantages resulting in increased share with existing customers and business wins with new customers. With that as perspective, I'll move on to our segment results in the fourth quarter on Slide 3.  Strong performance continued in our hygiene, health, and consumables segment where organic revenues increased by 5%, including solid organic growth in most geographic regions. We continue to meet high levels of demand for essential goods in the quarter, and our portfolio of adhesive solutions that enable more sustainable consumer products drove strong growth in packaging, tissue intel, and tapes and labels. HHC segment EBITDA margins were strong at 15.3%, up 270 basis points year-over-year reflecting volume leverage, favorable mix, savings from our business restructuring, and good overall cost control.  Construction adhesives organic revenue increased 1% versus the prior year, with improvements in year-on-year performance for all markets when compared with the second and third quarters of the year. Both the commercial flooring and roofing end markets improved in the quarter, albeit at a slower pace than residential construction markets. Construction adhesives EBITDA margin was solid at 12.4%, down 80 basis points versus last year, reflecting unfavorable mix and an increase in variable compensation accruals as a result of the stronger topline results in the fourth quarter.  For the full year, EBITDA margin was roughly flat to 2019. New product introductions and improved product mix related to last year's portfolio repositioning, as well as operational improvements from the GBU restructuring offset the impact of lower volume. These operational improvements position this business for strong margins as construction activity increases in 2021. Engineering adhesives continued to show strong improvement with organic revenue up 5.6% year-on-year in the quarter led by double-digit growth in electronics, recreational vehicles, woodworking and panels, and solid results in insulating glass and automotive. Engineering adhesives EBITDA margin remained strong at nearly 17%, down 80 basis points versus last year, reflecting an increase in variable compensation as a result of the stronger topline results in the fourth quarter. Looking ahead to 2021 we will pursue growth opportunities and share gains in a business environment that is expected to continue to improve, but remain below normal levels.  Our planning assumptions at this time are that COVID related shutdown impacts will continue to lessen as vaccines are rolled out around the world although recessionary forces will continue to weigh on global economies throughout the year. We anticipate continued improvement in underlying demand, especially for electronics, durable goods, and consumer goods driving volume growth in 2021 versus 2020.  Growth in some end markets such as commercial construction and aerospace will improve at a slower pace and may not yet return to 2019 levels of activity. Elevated demand for hygiene and health products, packaging, paper tissues and towels will likely continue into 2021 as consumers continue to spend more time in their homes. The spikes in demand that we saw in the second quarter, however, are unlikely to repeat.  We anticipate construction adhesives end markets to continue to show steady improvement throughout 2021, with commercial activity improving throughout the year and residential activity remaining solid. Engineering adhesive end market demand will likely remain at elevated levels in early 2021, reflecting increased production activity to meet some pent up demand, returning to more typical activity levels in the second half of the year.  In total, our base planning assumptions are for low to mid-single-digit organic revenue growth in 2021 with stronger growth from engineering and construction adhesives versus 2020. We expect volume, leverage and savings from our restructuring and our operational improvement programs to drive solid year-on-year EBITDA margin improvement in 2021.  Sales growth, improving margins, and continued working capital efficiency will enable us to continue to drive strong cash flow and deliver another year of strong debt pay down with a target of paying down another $200 million of debt in 2021. Against a challenging economic backdrop, our performance in 2020 demonstrates that our business is diverse and resilient. Our operations are nimble and we are executing our strategy well and we expect to continue to outperform our markets again in 2021. Now let me turn the call over to John Corkrean to review our financial results and our expectations for 2021 in more detail based on these planning assumptions. 
A - John Corkrean: Thanks Jim. I will begin on Slide 4 with some additional financial details on the fourth quarter. For the quarter revenue was up 5.2% versus the same period last year. Currency had a positive impact of 0.5%. Adjusting for currency, organic revenue was up 4.7% with volume up 5% and pricing having a negative 0.3% impact year-on-year in the quarter. Year-on-year adjusted gross profit margin was 27.5%, down 10 basis points versus last year as higher volume was offset by higher variable compensation and unfavorable absorption due to a reduction in inventory. Adjusted selling, general, and administrative expense as a percentage of revenue was down a full percentage point versus last year, reflecting savings associated with the business realignment and lower travel, which was partially offset primarily by higher variable compensation associated with strong fourth quarter results. Adjusted EBITDA for the quarter of $123 million was up 9.4% versus last year and above the high end of our planning assumptions, reflecting strong topline performance, particularly in engineering adhesives. Adjusted earnings per share were $1.06, up 21% versus the same period last year, a strong volume growth, lower SG&A, and lower interest expense associated with our debt reduction actions grow higher earnings per share than last year.  For the quarter cash flow from operations of $139 million is up by 27% versus the same period last year, reflecting continued improvement in working capital performance. This allowed us to continue to reduce debt, paying off $205 million for the full year ahead of our $200 million debt pay down plan.  With that, let me now turn to our guidance for the 2021 fiscal year. Based on what we know today and the planning assumptions that Jim laid out earlier, we anticipate full year organic revenue growth be in the low to mid-single-digits and EBITDA to increase by approximately 10% as volume leverage, pricing, manufacturing and supply chain savings, and carryover of the restructuring related savings SG&A offset higher raw material costs, variable compensation rebuild, and higher travel expense. We expect our 2021 core tax rate to be between 26% and 28% compared to our 2020 core tax rate of about 25%. The higher tax rate is a result of forecasted income by region and the tax impact related to the global cash management. Capital expenditures are expected to be approximately $95 million in the 2021 fiscal year, and we expect to devote approximately $200 million of our cash flow after CAPEX investments and dividends to the repayment of debt. Now, let me turn the call back over to Jim to wrap this up. 
Jim Owens: Thanks, John. In 2020, we proved our ability to consistently and effectively execute our strategy in the toughest of times, and we reinforce the business resiliency that comes from our broad portfolio of adhesive applications and diverse end market exposure. Most importantly, we have created momentum as we head into 2021. Revenues increased and margins improved sequentially throughout the year and in the fourth quarter we delivered 5% organic revenue growth with positive organic growth in each of our segments. The momentum we have created is enabling us to outperform our markets and as a direct result of actions we've taken over the past few years to realign our organizational structure and strengthen our ability to grow. Our business realignment accelerated our market focused innovation and enhanced our collaborative capabilities, enabling us to consistently meet customer's needs and capture growth opportunities. And the business realignment also enabled us to do this through a simpler, lower cost structure. Looking ahead, we are only just beginning to see the benefits from these actions. Our customer wins continue to grow and we are still in the process of implementing changes in optimizing the business with a focus now on driving $20 million to $30 million of efficiencies across our manufacturing network by the end of 2022. We are encouraged by share gains and new customer business we have won in 2020 that helped drive revenue growth as we exited the year. Our focus on innovation to drive new business continues in 2021 and our new product pipeline is stronger than it has ever been. We continue to expand our portfolio of adhesive applications that enable more economical and environmentally sustainable buildings and products. Some examples include our single ply membrane spreadable roofing adhesive, our fast 2K pole and post setting material, advanced adhesive for solar panels and insulating glass, formaldehyde free, low monomer emission adhesives to support low VOC structural wood products and panels, and a growing portfolio of adhesives for electronics, including applications used in smartphones and wearables, touch panels and keyboards and interiors and exteriors in both traditional and electronic vehicles.  In December, we announced our Advantra hot melt adhesive technology for extreme cold storage of vaccines and medical packaging, which provides a secure bond at minus 70 degrees Celsius. Demand also remained strong for sustainable packaging solutions, such as H.B. Fuller's closed Sesame tapes that support easily returnable packaging systems, compostable adhesives for paper and hygiene products, and our microscopic [ph] adhesive technology for removable signs and labels. This high level of demand reinforces the importance of our HHC solution in today's world. These are just a few examples of the innovation we are bringing to market. With our strong product pipeline and the continued optimization of our operations we are confident in our ability to build on our success, driving further share gains and continued margin improvement.  We exit an unprecedented year in 2020 as a much stronger company. And as the world's largest dedicated provider of adhesives, we are uniquely positioned to capture future growth opportunities and deliver for our shareholders strong, sustainable results in the months and years ahead. This concludes our prepared remarks today. Operator, please open up the call so we can take some questions.
Operator: [Operator Instructions]. Your first question comes from Jeff Zekauskas with J.P. Morgan. Your line is open. 
Jeff Zekauskas: Thanks very much. In your remarks you said that if raw materials go up you should be able to offset it with price increases. How much price do you need to offset your raw material inflation? 
John Corkrean: Yeah, so Jeff, as you know raw materials are starting to move here early in the year. Right now it's commodity materials, things like propylene and ethylene, and only about 13% of what we buy as those materials, we typically the 87% of what we buy is specialty materials and those typically lag those commodity materials. So we're anticipating -- we're seeing and anticipating a ramping up of increases, but it will probably hit us more in the second half than the first half. We have started some price increases here in February and March. So, I'd say it's a fluid plan, Jeff, but I think for the full year, increases of 1% maybe 2% for the full year, but that ramps, that starts at a pretty low number and second half of the year, we'll be at closer to 3% or 4%. 
Jeff Zekauskas: Right. So, shouldn't your organic growth for 2021 be higher than low to mid-single-digits if you're going to get a couple of% from price alone, if you grew at a low-single-digit rate that would imply no volume growth or not much volume growth, but surely you should do much better than that, no? 
Jim Owens: Yeah, let me let John give you a little more color on it, but I think Jeff it's a fluid environment out there. So I think there's a lot of reasons to be optimistic, certainly given how the year end and the comps were up against. And certainly there will be some, some price impact of 1% or 2%. But, I think it's a fluid world, so we're not going to anticipate exactly where it's going to head until things play out here a little bit going into the start of the year. But yeah, I think there's a case that organic growth could be a little higher depending on where the world goes. John, you want to add to that. 
John Corkrean: Yeah, just on the point on pricing so, Jeff, we would -- we probably expect that if we saw 1.5% to 2% in raw material inflation we might get closer to 1% pricing, which would fully offset the dollar impact. So, obviously a 1% increase in pricing would offset approximately a 2% increase on raw materials. Eventually we want to get back to where we're getting that full 2% to get our margins back to where they were, but that sometimes takes a little longer. So I think as we think about a 1% to 2% raw material inflation world, we're probably around 1%, maybe a little bit lower than that from a pricing standpoint. 
Jeff Zekauskas: Okay. Just and lastly, the margins in engineering and construction in the fourth quarter were down year-over-year and even though the revenue growth and the engineering was really pretty strong and you talked about taking out 10 million in costs. So like it didn't look like the 10 million in costs really came out of those two segments. Did it come out of HHC and were you satisfied with your margins in engineering?
Jim Owens: Yeah, I think broadly speaking and I'll let John -- Jeff I'll let John give a little more color, it's really about this accrual of variable compensation that was -- because we over-performed in the fourth quarter, we need to build up some accruals that really impacted the last few quarters. So, that was fundamentally what I think, what a shifted margin to be more positive than they were. So we were happy to see 21% EPS and double-digit growth, but I think to your point with that organic growth, you would normally see even better numbers. And that was just about building up some variable comp. John, do you want to add to that? 
John Corkrean: Yeah, no, that's exactly right. I mean the, and it is really the variable comp impact which was probably $6 million to $8 million in the quarter versus kind of a typical run rate cause there was a catch up impact was all in engineering adhesives and construction adhesives which had been harder hit by the COVID impact and performed much better in Q4. So that was a little bit of a catch-up impact in Q4. 
Jeff Zekauskas: Okay, great. Thank you so much. 
John Corkrean: Thank you, Jen.
Operator: Your next question comes from Mike Harrison with Seaport Global Securities. Your line is open. 
Michael Harrison: Hi, good morning. Congratulations on the nice end to the year here.
Jim Owens: Good morning Mike and thank you. 
Michael Harrison: Wanting to start out with -- I also have a question on the guidance. Maybe talk a little bit about your expected cadence of EBITDA growth in that 10% number, and talk a little bit about your macro assumptions or I guess maybe COVID or vaccine assumptions because you refer to this guidance as your base case and I'm wondering if that means it's maybe a little bit conservative or can you talk about maybe how you would think about the difference between base case and maybe a best case or a worst case relative to that 10% number? 
Jim Owens: Okay. There's a lot of questions built in there, Mike, but I'll try and give a high level…
Michael Harrison: Sorry about that. 
Jim Owens: That's okay. In terms of cadence we're expecting double-digit EBITDA growth here in Q1. We're also expecting -- if you think about that 10%, to be above 10% too in Q3 and maybe a little below it in Q4. So it's -- that's kind of the shape of the EBITDA growth. And admittedly Mike we're not trying to crystal ball here a big rebuild of demand globally. Certainly there's a lot of good signs out there and our results are very positive. Plus, we got some good share gains, so there's a lot of reasons why you could get more optimistic, but I think we've all seen that the world goes and fits and starts as things go forward. So, just as we did last year, we build our planning assumptions, I think on a practical view that recessionary impacts would affect our business and I couldn’t tell you what they are and where they are going to hit and when, that is sort of our planning assumptions is not some, everybody is vaccinated, the world takes off kind of scenario. So, John you want to add to that some. 
John Corkrean: I think that is exactly right. So, in terms of best case I think if the world got a lot better Mike you would see clearly higher demand would come forward in our business. If you have very good leverage especially in EA and CA from a margin standpoint we are anticipating some buildup of costs, things like -- we talked about bonus accruals, obviously all of our bonuses are below target last. We got [indiscernible] and we have got travel that will go up but we will have very good leverage if we see more volume growth. But we'll also see more raw material inflation. I think, if the world gets very active you'll see that. So we've got a plan to manage through all that if it goes through, but generally if the world's a better place we're well positioned to take advantage of it. 
Michael Harrison: Alright, appreciate the color there. And then we're hearing that a lot of manufacturers and industrial and automotive, and maybe some other markets are running at pretty low inventory levels. Can you talk a little bit about the potential restocking opportunity that you see across some of your key businesses? 
Jim Owens: Yeah, I couldn't give you a full color on everything, we're very diverse in our end markets. I think we're feeling a little of that in Europe. I think Europe really destocked and you saw a lot of inactivity from a manufacturing standpoint over the summer. So, markets like auto and insulating glass in Europe are definitely in a mode of restocking. I mentioned RVs, RVs the demand is very high, but they've depleted all their inventories. I think you're going to see a poll to fill pipelines there for a long time just to catch up. So, there are definitely some market segments that need especially a more industrial goods, durable goods. I think you see some inventories depleted in certain markets. 
Michael Harrison: Alright, thanks very much.
Jim Owens: Okay Mike, thanks. 
Operator: Your next question comes from Eric Petrie with Citi. Your line is open. 
Eric Petrie: Hey, good morning Jim and John. 
Jim Owens: Good morning Eric. 
Eric Petrie: A question on the noted semiconductor chip shortage going on globally and the impact on your electronics business and auto, you posting double-digit gains this quarter, last quarter, so how do you see that growth momentum for both those end markets into 2021? 
Jim Owens: Yeah, so in terms of our own products, most of what we produce around the world, we produce with local raw materials. So we don't have a huge supply chain dependence on raw material shipping around the world and we have local alternatives. So we're doing a great job of managing our supply chain to get product to customers. Your question is more about our end customers. Our wins in electronics are mostly share gains. So that's tough for us sometimes to sift through what the market's doing versus us winning there. So clearly the shipping lane problems are an issue for a lot of industries and some of our customers are managing through them. But we don't see a material impact on our business overall from what we hear from customers but there are definitely signs of people having supply issues globally through shipping lanes. But our customers seem to me to be mostly managing through it with exceptions. John, anything -- color you want to add there?
John Corkrean: No, I think that is right. 
Eric Petrie: Helpful. And for my follow-up question, how do you see working capital in 2021 versus the source of cash this year in 2020 and then what is your target leverage by year-end 2021 compared to four times currently and the target that you gave when acquiring Royal of less than three by 2020, how does that stack up now?
Jim Owens: Yeah, so well, I'll give you some high level and then maybe John can, working capital I think we've -- since over the last few years we've reduced it 300 to 400 points. John will give you the exact number. But we put a really big focus on that. And I think the team has done an outstanding job of managing working capital and we see ourselves improving that another 50 to 100 basis points again this year. So now we're going to have more capital demand as we grow off of 2020, but I think as a percentage, you'll see that go down another 50 to 100 basis points where we continue to build that as a strength in the company. And then, as I've said many times to our investors, our objective is to get below 3.0. We set out a three-year target to reduce debt by $600 million. We've delivered over $670 million in debt reduction. We've beaten our target every single year. I'm going to be shooting to beat the target again this year and as you point out, we will be close to three by the end of this year and certainly below three in 2022. John, you want to comment more especially on the working capital or anything. 
John Corkrean: Sure, you are exactly right. We've taken our working capital as a percentage of sales from about 18% in 2017 to below 17% at the end to 2020. It's about 100 basis points a year. And that's in the range of improvement we would expect to see in 2021. So based on that math, it would be a source of cash maybe not quite as big a source of cash as this year when we also had the impact to lower sales. But yeah, and then from a leverage standpoint, based on those numbers we would expect to be at around 3.5 times debt to EBITDA or slightly below by the end of 2021. 
Eric Petrie: Great. Thank you.
Operator: Your next question comes from Ghansham Panjabi with Baird. Your line is open.
Ghansham Panjabi: Hey guys, good morning. 
Jim Owens: Good morning Ghansham.
Ghansham Panjabi: Yeah, so going back to the EBITDA margin's specific for HHC, did the margins there come in in line with the original plan, was it better, it was higher than our model. Just curious as to what drove the upside, if there was any relative to your initial plan and just also more broadly, as the lockdown started to expand during the quarter during your calendar year 4Q how did that impact some of the exit run rates if you will, from volumes for each of the segments, especially EA?
Jim Owens: Okay, so as far as HHC is concerned and the margin Q3 was a little slower than we expected, Q4 was about what we expected, probably a little better. Andy and the team has done a great job all year. You know, I think they've met a lot of demand, they've generated the growth, and then they've improved the margins in that business. So we're very pleased with it. I wouldn't say it's dramatically less than we thought in the quarter, probably a little better, as they have done all year or so. Really good quarter and year for our HHC business. And part of that is growth, right. The share gains that they're getting in addition to meeting all the demands out there in this environment has been really, really positive. And the second question was… 
Ghansham Panjabi: Exit rate to volumes?
Jim Owens: Yeah, so John, do you want to comment on it.
John Corkrean: Yeah, I can for sure. So, I don't really think we saw a significant impact from any lockdowns in the fourth quarter, either positive or negative. I think the trends in HHC and EA both moved in a positive direction as we ended the year. So, I would say it's hard to say for sure, Ghansham but I don't really feel like we saw an impact.
Ghansham Panjabi: Got it, and then in terms of back to the raw material question also, I mean, there's a big concern about margin pressure for a lot of the companies in our coverage, including yours. As costs have risen, as the economy has bounced back, et cetera, globally. You mentioned reformulation and some select pricing, but how would you kind of give us comfort that we're not going to go through a sequential margin compression phase as your volumes come back and then also some of the commodity, just the tightness in the commodity markets start to roll through your cost structure?
Jim Owens: Yeah, so I think one of the difference between us and a lot of other companies, Ghansham is we're not a purchaser of commodity materials. So we definitely see that lag as raws [ph] come in. So with only 13% of our raws being things like VAM, and acrylate, and ethylene and so we're not seeing that big uptick that a lot of people will see here early in the first half of the year. And also, I'd say it's a little more muted. I mean, if you look at what's happened to propylene and ethylene, it's really taken off. I mean, VAM, which is our number one raw material is only 4% of our purchases. So that's one thing that's different about us than others. But I think we've shown over the years, Ghansham and you can look back at other inflationary environments that we've gotten very good at anticipating where the world's going and then taking those bold steps on increases. And I mentioned briefly in Jeff's question, we've got price increases that are going to effect in February and March in certain market segments. We've got a whole plan built around Q2 increases. And right now we're sifting through exactly how big and the exact timing of those. But certainly price increases will be a big part of the strategy as we look into the second half of the year. But we don't get that big shock to our system that other companies have. So we have a little time to plan for it and it's pretty clear it's coming. So we're taking the steps. John, anything else to add there?
John Corkrean: No. I think that summarizes [indiscernible].
Ghansham Panjabi: And Jim, if I could just your exposure to freight, how big is that for you and the question I asked about raw materials wasn't just specific to your pure raw material basket, but also some of the logistics cost including freight?
Jim Owens: Yeah. Again, if you think about it, especially as our portfolio has changed over the years, our business is not as bulk as a lot of companies. So overall, freight is about 2% to 3% of revenues. So, if you think about a 10% or 20% increase in freight, that's a 0.3% or 0.6%. So it's something for us to manage just as labor is and I think we're going to see a little bit of labor pressure here, but it's not the big driver. Raw materials are the big driver for us.
Ghansham Panjabi: Okay, very clear. Thanks so much. 
Jim Owens: Okay, thank you Ghansham.
Operator: Your next question comes from Vincent Anderson with Stifel. Your line is open. 
Vincent Anderson: Yeah, thanks. And just wanted to echo the congratulations on an impressive year. So yeah, so just to nitpick 2021 guidance a little bit longer, how much of the 10% EBITDA increase is accounting for the cost savings that you've achieved, net of whatever kind of cost inflation normalizing out of COVID?
Jim Owens: Yeah. So, I think if I were to think about it at a very high level, there's -- the growth in currency impact is about $40 million of the increase [indiscernible]. Our project grows our restructuring savings that we talked about, generate about 15 million to 20 million in benefit, and then we have a lot of cost up, we've got to rebalance our bonuses, which were below targets, merit travel, and that's about a $20 million drag. And then you have this net raw material pricing and positive mix, which ultimately that nets out to zero. So those are the main elements of this. And that's how you get to the number.
Vincent Anderson: Okay, that's helpful. And then, not to get ahead of ourselves but, maybe this is the year where the dollar isn't just a constant headwind. If we see the dollar weaken further, is it all translation for HP4 or we can we actually see some kind of impact to margins from a weaker dollar?
Jim Owens: Yeah, so it is always interesting. In theory it is mostly translation but there have been in the past benefits when we see weakening dollar and we had the pain. And feels like most of my term as CEO we have had the other effect. So it should be a positive force and we have factored some of that into this year, but we can go is generally good for us. 
Vincent Anderson: Thanks. And if I could sneak in one more. Are there any particular -- you listen to quite a few new product developments, maybe more broadly, are there any specific families that you are excited to see progress on commercialization as we get back to a more normal customer environment and then maybe specifically you had some recent success in aerospace earlier in 2020, is there -- is that going to translate to much in the way of sales in 2021?
Jim Owens: Well, I'm excited about all of our innovations, so it's tough for me to pick a couple. I would say, and we haven't talked a lot about it on this. This restructuring is a 3GB use and then really the 28 segments below that is really driving a lot of our growth and our wins. So, if you think about a business like ours and those are roughly $100 million businesses, then getting %2 million, $5 million, and 10 million dollar wins is what this is about. So I can't point to one $20 million, $30 million win that's really driving the number. It's a lot of things, but what I really love is each one of our segments has one or two very sizable wins where they're gaining some share. So our work in solar, I'm very pleased with what we're doing there and some of the innovations there because that's such an emerging trend. I work in electric vehicles and the electronics around vehicles. So we've targeted in the auto space anything to do with electronics. There's some really exciting wins there and we're positioning ourselves as a leader there. And then just the electronics in general, that team continues to get stronger and stronger. And then finally, under Andy's leadership, the part of why we set up HHC was to get a better handle on what some of the sustainability benefits were. And we got a couple of nice wins there. So those are some of the ones I'm most excited about. In terms of we're ahead of the trends and they have momentum that's going to build on itself as far as the world evolves.
Vincent Anderson: Alright, thank you.
Operator: Your next question comes from David Begleiter with Deutsche Bank. Your line is open.
David Begleiter: Thank you. Good morning. Question for John, how is organic growth tracking Q1?
John Corkrean: I'd say December was positive so, I think more of what we saw in Q4. So it's December, though I'm always cautious not to overreact to December, but, I would say more positive than that is what we saw in the first month of the quarter.
David Begleiter: And if you read on January, do you get weekly sales that give you an insight into...?
John Corkrean: We do. Again, I'm really hesitant to talk about our average daily sales. But, I don't think we see any big trend changes. You know, we think it's going be a positive quarter.
David Begleiter: Got it, and if you see higher volumes than you are currently forecasting and planning assumptions, what types of incremental margins you will see in those higher volumes?
John Corkrean: Yeah, we typically say that our incremental margins are around 30% when we consider all the cost associated with. So it's somewhere in that range David.
David Begleiter: Very helpful. Thank you. 
John Corkrean: Thank you.
Operator: Your next question comes from Rosemarie Morbelli with G Research. Your line is open.
Rosemarie Morbelli: Thank you. Good morning, everyone and my congratulations. So if we look at the growth rate in HHC and the engineering adhesives, how much do you feel was from pent up demand or inventory build versus normal type of demand level?
Jim Owens: Yeah, so HHC was -- we don't think was really resulting of inventory rebuild. We see good positive growth there and some good positive wins and not a big inventory shift or pent up demand. And they were strong all year. Right, so we don't see that. In engineering adhesives Rosemarie it's a mix, right. So, I think something like electronics, we had a lot of good wins that came through RV's. They're still not picking up on the demand they had earlier in the year. Auto in Europe certainly there is some pent up demand that's coming through. So -- and then those other areas, as I mentioned, things like aerospace that really aren't picking up as an industry. So it's a broad mix market by market. But I think that's the beauty of our organizational structure. We have an aerospace team, electronics team, an RV team, an auto electronics team. Each one of those teams is identifying the needs and making certain we capitalize on them as they come, so -- but it's a mix.
Rosemarie Morbelli: Okay, thank you. And following up on your laundry list, if I can use that term, also innovations, new products, while you cannot really give us a dollar number, because it is a combination of a lot of multiple small wins. If you look out two or three years, how much do you think on aggregate all of those new products could generate in terms of revenues?
Jim Owens: Well, we have to go through the list and go through them one by one, Rosemarie, which I'm not going to do. But yeah, I think sizable wins in our space, the kind that I would mention on a call like this are 10 million. Sometimes they're a little bigger, sometimes they are a little smaller but it's a good average number of how much adhesive, which is a lot adhesive, $10 million of adhesives. So sometimes they're bigger, depending on the market segment and the nature of the innovation. But in aggregate they add up to a big number of when you do that across 28 segments.
Rosemarie Morbelli: Biggest driver for EBITDA growth in 2021. Okay, and if I may add one more, what could be your -- what is your exposure to any potential infrastructure bill, would that have a big impact on your businesses or not that much? 
Jim Owens: Not a direct impact Rosemarie. We have within our construction adhesive businesses, we have three businesses, a roofing business, a flooring business and a utilities and infrastructure. So there's some opportunities in that business. So think about a third of our CA business is affected by that. So not a huge infrastructure. The infrastructure bill won't drive direct adhesive purchases from H.B. Fuller.
Rosemarie Morbelli: Okay, thank you. 
Jim Owens: Okay, thank you.
Operator: Your next question comes from Paretosh Misra with Berenberg. Your line is open. 
Paretosh Misra: Thank you. Good morning, Jim, John, and Barbara. So in your 3A business units, do they operate in a similar fashion in terms of how price hikes are announced or implemented, just trying to get a sense of what percentage of your business may require you to push through these price hikes if raw materials go up this year?
Jim Owens: Yeah, yeah. So we'll -- I think I'd even think about it a different level. There's 28 segments and we'll manage pricing differentially on each one of them. Now, all of our businesses are similar and that they have low volume products or products that are specialty products that will take increases early. So you'll see some of that happening. That's part of what's happening in February. And then we have some products that some of those market segments that are tied more toward these commodity materials that are moving now, they're also moving more quickly. So it does vary by the market segment and the buying behavior of the customers. So it'll be a mix.
Paretosh Misra: Got it. Thanks for that. And then for engineering adhesives, what would it take the margins to get to 20%, which I believe is the high end of your long-term target. Is that just more volumes or any specific end markets need to go back to where they were?
Jim Owens: Yeah, I think 20% is the target in that business and we -- I think what we've done is we've built a great infrastructure for growth. We've seen it over before 2020 in terms of the double-digit growth and our ability to gain share there. And given the margins in that business, the incremental margin of that business are higher even than our other businesses. Growth will drive a lot of value to the bottom line and margin expansion. So that's the biggest driver.
Paretosh Misra: Got it, and last one quick, on the CAPEX this year, is there any major project that's worth flagging or is it just regular, small project?
Jim Owens: You know, we always have a number of expansion projects going on so in the Middle East we've got a project in Egypt. We had a very old plant there. That's a growing area for our hygiene business. Our electronics business has a pretty sizeable expansion going on in China and in the business that supports our solar business has an expansion project going on. So those are three of the bigger ones. But most of our investment is smaller, $5 million, $10 million, $2 million investments within facilities to drive growth or productivity.
Paretosh Misra: Thanks, Jim. And all the best for 2021. 
Jim Owens: Thank you very much.
Barbara Doyle: I think we have one more question.
Operator: Your final question comes from Rosemarie Morbelli with G Research. Your line is open.
Rosemarie Morbelli: Thank you for taking my follow up. I was -- you have a target of three times net leverage. Should we expect or should we expect that you will not have any M&A until you have reached that level or do you think that the market is such that you could still add bolt on new technologies to your product lines?
Jim Owens: Yeah, I think we've been pretty clear, Rosemarie, our goal is to get to that 3.0 leverage. We've committed that to our investors and we're well on our way to do that. And there's two ways to do that, pay down more debt faster or improve the EBITDA and we're working on both of those.
Rosemarie Morbelli: Okay, thanks. And lastly, just following up on the margin target, you had a 22% margin target for construction. We are now at about 12.4%. Have you changed that particular level?
Jim Owens: I'm not sure where the 22% comes from, Rosemarie, but yeah, we see a lot of margin expansion for that business. So we did some good repositioning of our portfolio. If you look at the margins throughout the year, especially given what happened in construction this year, they were very solid overall and we expect good expansion into next year.
Rosemarie Morbelli: Alright, thank you, good luck. 
Jim Owens: Thank you.
Operator: Showing no further questions at this time, I will now turn the call over to Jim Owens for closing remarks.
Jim Owens: Okay, thanks everybody for your time today. Happy New Year and thanks for all of your support for H.B. Fuller. That ends our call. 
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.